Operator: Ladies and gentlemen, thank you for standing by. Welcome to the DSM's Conference Call on the Full Year Results of 2017. [Operator Instructions] Now I would like to turn the call over to Mr. Huizing. Go ahead please, sir.
Dave Huizing: Thank you, operator. Ladies and gentlemen, good morning, and welcome to this conference call on our full year results that we published earlier this morning. I’m sitting here with Mr. Feike Sijbesma, CEO and Chairman of the DSM Managing Board; and Mrs. Geraldine Matchett, Chief Financial Officer and member of the DSM Managing Board. They will elaborate on the results and after that, answer your questions. As a reminder, today’s presentation may contain forward-looking statements. In that regard, I would like to direct you to the disclaimers about forward-looking statements as published in the press release. And with that out of the way, I can hand over to Mrs. Matchett. Geraldine, please go ahead.
Geraldine Matchett: Thank you, Dave. Good morning, ladies and gentlemen, and welcome to this call on DSM’s full year results 2017. On this call, I will walk you through some of the key slides of our investor presentation that we published this morning with the press release. And after that, we’ll open the line for some Q&A. Let me start first with the financial highlights on Page 2. As we can see from the summary, DSM delivered strong financial results in 2017, significantly ahead of the financial targets set in our strategy. This was achieved through the continued focus on driving above-market sales growth, both in Nutrition and in Materials as well as a persistent drive to deliver on our cost savings and efficiency improvement programs. Sales for the year closed at €8,632,000,000, an increase of 9% versus 2016. This increase relates fully to organic growth at 9%, supported by strong volume growth of 7%, clearly above market. While I will come back on the specifics in a little while, in short, all businesses contributed to the strong growth. In terms of our earnings, our adjusted EBITDA closed at €1,445,000,000, representing a 15% increase over prior year, well ahead of the high single-digit growth target originally set in our Strategy 2018. This 15% increase relates, of course, to the strong top line as well as our cost reduction and efficiency improvement program, which progress well and are on track to deliver the targeted benefits. Our adjusted net profit for the year was up 36% to €706 million, while the total net profit reached €1,781,000,000, and includes the gain on disposal of Patheon in Q3 of €1,260,000,000. Also worth highlighting, our return on capital employed, ROCE, closed at 12.3% for 2017, up from 10.2 – 10.4% in prior year. Finally, regarding the dividend, our policy is to provide a stable and preferably rising dividend. Reflecting our confidence in the financial performance of our company, we propose an increase – to increase the dividend from €1.75 to €1.85 per ordinary share. As for the last bullet on this slide, our outlook, I will come back to this at the end and go first through some of the key slides on our performance by business in 2017. Starting with our Nutrition business, let’s go to Page 10. In 2017, Nutrition again outperformed its aspiration as outlined in our Strategy 2018, with full year sales increasing 8% organically, clearly above market, and reflecting the successful implementation of our growth initiatives in both Animal and Human Nutrition. The Nutrition improvement program covering the cost reductions as well as operational excellence further helped grow our adjusted EBITDA that closed 13% up over prior year, repeating the excellent EBITDA growth performance that was achieved already in 2016 with a similar 13% EBITDA growth. Nutrition’s adjusted EBITDA margin for 2017 increased to 18.9%, a further step-up from the 18% margin achieved in 2016. Now moving more specifically to Animal Nutrition. Let me go to Page 11. For Animal Nutrition, the full year 2017 sales were exceptionally strong, with an 11% organic growth, driven by 9% volume, albeit against somewhat easy comparative figures. The business continued to benefit from its strategy of addressing a wide range of species as well as from the diversified geographical presence, covering all the major growth areas in the world, and its strong forward integrated premix position. Markets in animal feed were favorable and supportive in 2017. Prices were up 2% above 2016, owing to the higher premix and vitamin prices. Regarding Q4 more specifically, it’s good to point out that our organic growth in Animal Nutrition was exceptionally high at 18%. The 12% volume growth against undemanding comparative figures, resulted mainly from a combination of 3 factors. Firstly, very strong sales in Brazil. This was due to the continued high demand for export beef but also accentuated by additional sales due to an ERP system change that we did in our Tortuga business early this year in January 2018. Secondly, strong premix sales in all regions reflecting continued strong global demand. And lastly, higher vitamin sales resulting from a supply shortage in vitamin E and vitamin A, following outages at some large European producers. This led to additional deliveries to existing contracted premix customers as well as emergency spot business with other accounts. The positive 6% pricing effect in Q4 resulted largely from a better mix, driven by exceptionally strong premix in Tortuga sales, and from the somewhat higher vitamin A and vitamin E prices towards the end of the quarter related to emergency spot business. Now moving to Human Nutrition on Page 12. In Human Nutrition, full year 2017 sales were up 6%, reflecting a 7% organic growth and a small 1% foreign exchange headwind. The business maintained its very positive momentum on the back of an already significant step-up achieved in 2016, and this was confirmed by 6% volume growth. While we continued to see ongoing softness in some of the end-market segments, the growth initiatives launched as part of our Strategy 2018 have been supporting these solid results. In the food and beverage market, tailored premixes performed well. In dietary supplements, growth was driven by sales excellence programs, the introduction of new multi-vitamins and omega-3 solutions. And in i-Health, we continued double-digit growth and it was achieved, in part, thanks to the recent expansion into China. Combined, these 3 businesses are moving us closer to the customer with now more than 40% of our Human Nutrition sales coming from customer nutrient premixes, retail-ready solutions and the i-Health B2B product. As for the Early Life Nutrition, this business remained a solid performer as well, despite the volatility in China linked to the new regulation. Finally, prices were overall stable with higher pricing in the advanced formulation and premix, compensating the somewhat lower contractual prices in Early Life Nutrition. Now from the Materials businesses, let’s move to Page 16. Our Materials business delivered another very strong year, continuing its excellent progress since the start of Strategy 2018. The silent transformation of the Materials portfolio focusing on specialty products provides a clear framework to outpace market growth and supported the financial performance again in 2017. Driven by demand for more sustainable, innovative, lightweight, environmentally friendlier, safer and higher-performing solutions, sales for the full year of 2017 grew by 12% with a strong top line growth being spurred in particular by the specialty. All 3 businesses in Materials delivered a double-digit organic growth, resulting in a 13% organic growth overall, of which 7% was volume driven. As for the 6% price effect, this reflected the increased input cost environment. Regarding profitability, in 2017, the adjusted EBITDA increased by 12% versus prior year, driven by the higher volume. The adjusted EBITDA margin was stable at 17.3% as pricing and groupwide cost savings and efficiency improvement programs offset the higher input cost and negative foreign exchange. Finally, also very much worthwhile highlighting is the return on capital employed that increased once again this year and reached, for the first time, 20%. All these great achievements demonstrate the improvements made in the quality of returns of our Materials business over recent years. Now moving to our cash generation briefly. Let’s go to Page 21. As shown here, our cash flow from operating activities amounted to €996 million in 2017, which is slightly below prior year. Due to our strong organic growth, the cash-out on OWC amounted to €195 million, although the – in absolute terms, it remains stable as the increase related to the growth was offset by the weakening of the U.S. dollar and the Swiss franc versus the euro. In percentage terms, OWC-to-sales ratios improved from 23.9% at the end of 2016 to 22.3% end of 2017. Now if we look at the total working capital, it ended the year at €1.5 billion, broadly stable versus last year. And in percentage of sales closed at 17.2%, an improvement of 1.2% compared to year-end 2016 and well below our aspiration level of lower than 20%. Net debt closed at €742 million, compared to €2,017,000,000 at the end of 2016. This decrease was mainly due to the proceeds received from the sale of our shares in Patheon of €1,535,000,000. And finally, the reported effective tax rate for 2017 was 16.8% compared to 18.3% in 2016. This decrease was mainly due to a onetime benefit from the U.S. tax reform. Ongoing, this tax reform, which by the way combines both the decrease in U.S. federal tax rate from 35% to 21%, but also the broadening of the tax base will have a net positive effect of approximately 1%. Overall, however, we expect the group effective tax rate to remain broadly within the guided 18% to 20% range. Now before moving to 2018, let me quickly provide you with a status update on the other actions regarding Strategy 2018, and for this, let me go to Page 25. As you can see in the summary page, in 2017, we delivered well ahead of our original ambition in the second year in a row. We have outpaced the market growth in 2016 and 2017 and expect to continue to do so in 2018. Our well-identified cost reduction and improvement programs continued to progress as planned. At the end of 2017, DSM achieved cumulative cost saving run rate of about €195 million. And at the end of 2018, we expect to achieve cumulative saving run rate in the bracket of €270 million to €280 million for the total of the program. In addition, besides stepping up the financial performance of the DSM businesses, our Strategy 2018 comprises additional elements aimed at future-proofing the company, providing a strong and sustainable basis for long-term value creation for all of our stakeholders, on which you can find more information and illustrative examples in our press release. Now let me close with a few words on our outlook for 2018. And for this, let’s move to Page 27. In 2018, we will continue to focus on improving our operational and financial performance through our own efforts. Key to this are the growth initiatives together with the completion of our cost savings and efficiency improvement programs. This will enable us, as this slide shows – and it’s a slide that we used actually in our Capital Markets Day in autumn last year – to continue to grow volumes above market in 2018 and to deliver on our targets. In addition, there are two other factors in 2018 that I want to highlight, and I will start with the less favorable factor, foreign exchange. It will not be a surprise to you that we are – that we expect a substantial negative FX for the year based on current rate developments, especially the strengthening of the euro against the dollar and several other currencies. For 2018, the current – at current rates, this will mean an expected negative impact of around €18 million versus last year. The other important factor for 2018 is the current pricing environment for vitamins, of which partly is temporary in nature. This positive pricing environment comes from three elements: first, we are achieving a favorable trend through our own growth initiatives, which do not only result in volume growth but also in favorable pricing; secondly, pricing of some ingredients like vitamin C is supported currently by supply restrictions due to the enforcement of environmental regulations in China, the blue sky policies and events which, in part, could result in structurally higher-cost positions of Chinese-based producers; and thirdly, the current market for vitamin E and for vitamin A is being impacted by exceptional market conditions caused by outages at competitors. This will provide a temporary benefit to our financial results. The impact of the current pricing environment is expected to be clearly above €100 million in 2018, heavily weighted towards the first half of the year. This bring me – this brings me to our outlook 2018 as stated in the press release, which reads, "DSM expects to deliver full year 2018 results above the targets set in Strategy 2018, with an adjusted EBITDA growth somewhat up from the high single digit to double digit and a ROCE growth above 100 basis points. The expected substantial negative foreign exchange effects, based on current rate, will be more than offset by a positive pricing environment in Nutrition, part of which is temporary in nature and expected to be heavily weighted towards the first half of the year. And with this, I would like to open the floor for questions. Operator?
Operator: Thank you. [Operator Instructions] The first question is coming from Mr. Andrew Stott, UBS. Go ahead please.
Andrew Stott: I had a couple of questions. First of all, just picking up, Geraldine, on your last comment on pricing. So impact of pricing environment you said would be clearly above €100 million which, on my math, is just less than 2% for pricing for this year. I mean, given you did 4% in Q4, and I get the point that a certain competitor will be back online probably Q2, is that a first map conservative judgment? That’s the first question. And then secondly, just trying to get to the bottom of your leverage in Q4. If I look at Nutrition specifically, your drop-through on sales in Q4 was actually lower than the first nine months and yet pricing was higher. So I just wonder if you could square that circle.
Geraldine Matchett: Okay. Good morning Andrew, so maybe let me come back and really dissect a bit the pricing movement, and I think it’s important to really realize that there are three pieces going on here at the same time. On the one hand, of course, what we’ve been doing is gradually move our portfolio, et cetera, and gain pricing out of our own steam regardless of market disruptions. Now on top of that, what we’re seeing is that there are some disruptions, particularly in China, relating to the environmental regulation and implementation that you’ve all heard about, the famous sort of blue sky policy. And that is creating some supply disruption. In this particular case, vitamin C is the relevant example. And then, a particular competitor has indeed caused more disruption on the supply side. And that actually creates for a rather blurred picture, to be honest, in terms of the absolute impact. Now we are guiding here and importantly for the full year outlook and, therefore, it’s important to bear in mind that a lot of these effects are very difficult to fully predict how they’re going to unwind. Hence, to the best of our ability, we feel this is the best outlook that we can give at this stage, remembering that it’s, of course, very early in the year and that we’ll have to see how it all pans out overall. So that was relating to the pricing, and I’m afraid I didn’t quite catch your second question on.
Andrew Stott: Yes. Sure. Sure, I’ll try again. So the EBITDA leverage from your sales growth actually fell in Q4. It wasn’t a dramatic change but it was nevertheless a decline. Obviously, you got more pricing. So you would expect to see more leverage in Q4. That was really my puzzle as to why you’re not seeing a bit more on your margin basically.
Geraldine Matchett: Yes. I mean, I have to say, we don’t usually run the business on a quarterly basis. And what we’re seeing in Q4, per se, there can be a number of adjustments going on there going through. Now of course, the thing that we drive towards is annual performance and what we’re seeing is a clear trend and we landed at 18.9%, which is very much middle of the range that we guided for. Now the exact movement quarter-on-quarter, we wouldn’t particularly split out, to be perfectly honest there. And so there isn’t an element that I would particularly highlight at this stage with that respect. In terms of the margin year-on-year, of course, it’s still a step-up, right? Because we’ve gone from 18% in Q4 last year to 18.7% and you do have seasonality that plays into that. So quite a few.
Andrew Stott: Yes, I suppose I was just wondering if there’s any one-off costs, anything – when you have a sudden surge of volume growth, are there any one-off costs that you have to incur? That was, I suppose, the question.
Geraldine Matchett: Yes. No, there’s nothing that we should – that’s worth mentioning as an individual effect.
Andrew Stott: Okay, great. Thanks, Geraldine.
Geraldine Matchett: Welcome.
Operator: The next question comes from Ms. Stephanie Bothwell, Bank of America Merrill Lynch. Go ahead, please.
Stephanie Bothwell: Yes, good morning. And thanks for taking my question. And, just three quick points of classification again on the guidance, if I may. Just on the €100 million positive benefit on pricing, just to confirm that, indeed, includes all of the three benefits, both temporary and from your own initiatives. The second one is on the €80 million for FX. Just to confirm, that’s on the translation benefit on top line and wouldn’t factor at anything with regards to transaction exposure on your cost base. And the third point is just given the very strong organic growth that you are seeing, is then Capex guidance of up to the €500 million still the relevant number we should be looking at? Or it should be something higher? Thank you.
Geraldine Matchett: Good morning, Stephanie. And, so first, to your question of the clearly above €100 million guidance, that includes all three elements; partly for a very pragmatic reason, which is that it is not at all an easy task to try and separate out in a hugely accurate way the different pieces. So even if we were attempting to do that, it would be a difficult exercise, plus of course it’s a full year outlook. So that is all in. Now in terms of the €80 million FX, this is really the total EBITDA impact of FX. So in there, you’ve got translation and transactional, and what we do is that we partly hedge ahead some of the transactional exposures and that results in our best estimate at this stage of €80 million, knowing that we have assumed, in order to do this sort of rule of thumb calculation, $1 to around $1.22 to the euro and a Swiss franc at $1.15, knowing that there’s, of course, a lot of volatility around these days on FX. But that is our current view of how that would impact our bottom line in total. And as for the CapEx, so what we did when we started this strategy, we said we would probably land between €500 million to €550 million per year on average during that period. Now in the first year of the plan, we were actually below at €475 million. This year, we are, sort of, within that range at €545 million. And I have to say that next year, we guide towards a bit of a higher number, more probably around the €600 million due to, in part, the organic growth but also the timing of certain CapEx projects, some of them acquisition related and others, particular projects that we are doing. So you should think of around €600 million for the year 2018.
Stephanie Bothwell: Okay, that’s very helpful. Thank you, very much.
Operator: The next question comes from Mr. Neil Tyler, Redburn. Go ahead, please.
Neil Tyler: Yes, good morning. Three for me, please. Firstly, just back to the guidance. Previously, you’ve applied the group EBITDA growth guidance – being very specific that it implies to both divisions. Presumably, that’s not the case this year, but I just wanted to get your take on that and on whether the previous high single-digit EBITDA growth guidance still applies to the Materials division? Second question, if you can help us with the volume effect in the fourth quarter of the emergency spot sales and whether you’ve got a quantification around that you can help us with. And then finally, you mentioned in Human Nutrition the 40% of product figure. Can you give us a sort of comparative, say, two or three years ago, how that looked within the product portfolio and the Human Nutrition division? Thank you.
Geraldine Matchett: Okay. Shall I take the first. So in terms of…
Feike Sijbesma: Hi, Feike’s over here but I am – go ahead, Geraldine.
Geraldine Matchett: Okay, I’ll go ahead. Okay. Neil, good morning. So in terms of the guidance, that is a fair comment because, indeed, the guidance of high single-digits to double-digits is really more relevant for Nutrition than it is for Materials. And as you can imagine, of course, that does take into account our best estimate of the current pricing environment. It is important, however, to maintain the fact that our Materials business is keeping its very good momentum; and as you saw, its results this year are excellent. And we don’t see any slowdown in our Materials businesses, but this overall guidance of high single into double is driven by Nutrition. So that is a very fair clarification. Now in terms of the emergency or participating somewhat more in spot sales in Q4 to meet demand on the market, to actually split that out is also quite a task. So here, what we would say is that if you look at the overall pricing effect in Q4, it’s made up of various elements that we try to split out in our press release, which is that you’ve got the mix effect both in Animal and in Human Nutrition actually that is favorable. And then you have this on top of layer coming from a more – a bigger activity in short-term contracts than we would normally have. But we’re not splitting it out here.
Neil Tyler: Already stay with the volume effect of that, whether there’s anything you can help us with on volume rather than price in terms of those emergency sales.
Geraldine Matchett: Again, it’s a pretty difficult exercise to split it accurately, so I’m afraid that’s going into probably a little more granularity than we can provide here. And then your question on the 40%, as you know, this directionally is exactly where we want to be growing, which is to have solutions which are closer and closer to the customer in our Human Nutrition business. And we are now quantifying it to being closer to 40%, which is a gradual evolution. Now I actually don’t have the percentage at hand in fact to run it back, but remember that this is, of course, very much driven by the double-digit growth in i-Health that has been a recurring pattern now for quite a while, but also the great success in our retail-ready solutions that has been also repositioning in our attempt at addressing the somewhat soft market in North America in particular. So these were two very significant elements that are now gaining nice traction and are starting to be material. So that’s why we wanted to highlight it here.
Neil Tyler: That’s very helpful. Thank you.
Operator: The next question comes from Mr. Mutlu Gundogan, ABN AMRO. Go ahead, please.
Mutlu Gundogan: Yes, sir. Good morning, everyone. A few questions. Let me start with Personal Care and Food Specialties. I see that sales is up 28% in the quarter to something of €246 million. Can you tell me what drove this? The second question is on the associates. These continue to be better each quarter. Can you tell us where you stand in your divestment program? And then thirdly is on the animal side – on the Animal Nutrition & Health. You mentioned that you have a new an ERP system at Tortuga, which led to additional sales. Can you explain me how that works? Thank you.
Geraldine Matchett: Good morning, Mutlu. let me start with the last two and then I’ll hand over to Feike. So in terms of the associates, as you know, from a directional point of view, we are aiming to monetize at some stage. Now you’re absolutely correct in highlighting that the performance has been a steady improvement, particularly for ChemicaInvest over the year. With a strong quarter, and actually in Q4 is the first quarter that we recognized our share of the earnings. So we’ve gone out of negative equity there. So a nice momentum. Still some way to go but that is heading in the right direction. And for DSP, it’s been a very solid year both in terms of growth and retaining the margin. So no clarifications on timing, except that directionally that is where we want to be heading with our associates. Now as to the Animal Nutrition, there, it’s a very pragmatic thing. As you know, we acquired Tortuga a few years back and I often get comments about are you simplifying your ERP landscape, yes or no? Well, the good news is that we are bringing now Tortuga onto our ERP backbone. But it is a significant exercise. It is actually, in itself, the biggest invoicing entity in the company. And Brazil being Brazil, the way that things are done there is not standard. Therefore, what we actually informed our client is we may actually have some production disruption because of the ERP migration. And in order not to cause any issues, we actually encouraged our clients to basically pull forward deliveries in order not to have any unhappy customers without products. Now the good news so far, and I’ll touch wood because the big migration has taken place in January, it’s gone pretty well and we believe that other than the fact that there’s also a production shut anyway to simplify the migration, that it’s gone pretty smoothly and we should be fine. But that is what we meant by this extra volume that you see in Q4, is very much – and you know Tortuga and Brazil in itself, they account for about 30% of our Animal business worldwide. So that acceleration in Brazil on the exports, plus this effect, is quite substantial in terms of the volume effect on – particularly on a quarter. So that was the explanation around the Animal Nutrition. And now maybe if you could just run us through – your first question was actually on Personal Care?
Feike Sijbesma: The first question was about performance, I think, of Personal Care and Food Specialties, well I’ll recap well, Mutlu. Indeed, Personal Care showed good growth over the year, 6% organically. And basically in all products line were sun care, the filters are an important part of our business and skin and hair care. But also the Aroma Ingredients, to be honest, especially also in Q4, doing very well, obvious reasons. And Food Specialties, organically around 3%. Could have been higher but we had some capacity constraints during the year, especially in enzymes. We reported that, I think during the year, I’m working on further debottlenecking. So that could have been higher than 3%, but both are performing well.
Mutlu Gundogan: Maybe as a follow-up. So 28% sales growth, can you confirm that? Because that would mean an acceleration from what you’ve seen over the whole year. So is there anything of a one-off element in there? So that will be the first follow-up. And then secondly, Geraldine, can you just tell me how many ERP systems do you still have within the company?
Feike Sijbesma: We have a lot of moving pieces in the company, but we are connecting and harmonizing those and we are not going for intergalactic one solution like many companies did because that cost a lot of money and does not bring a lot. And what you’re referring to, help me, because you seems to be aware about a specific sales forecast growth in 2018 of Food Specialties and Personal Care. But that is not what we provide. We provide double-digit EBITDA growth which we showed, and we have continued underlying growth in all our businesses across the company. But help me where you got specific per segment forecasted growth in 2018.
Mutlu Gundogan: No, no, not so much 2018 cycle. But if I back out your Nutrition sales and I back out the Human and Animal Nutrition sales that you report, I get to sales for the remaining businesses, which are Personal Care and Food Specialties. And there, it seems, on my calculation, that your revenues are up from €192 million to €246 million.
Feike Sijbesma: Well, we probably said exactly in the presentation to investors on Page 13 what the sales is in Personal Care and Food Specialties. So you don’t have to calculate that back.
Geraldine Matchett: Yes. Mutlu, don’t forget that there are other items that make up the total in Nutrition clusters. So I think by backing out, you’re getting a twisted picture on those two businesses.
Feike Sijbesma: Understood okay I will take a look thank you.
Geraldine Matchett: Yes no problem.
Feike Sijbesma: 13 of the presentation to investors, you see because we publish that only once a year the total sales of Food Specialties and PC & Aroma Ingredients. So you don’t have to calculate that back.
Mutlu Gundogan: Okay clear thank you.
Feike Sijbesma: Thanks.
Operator: Next question is coming from Mr. Laurence Alexander, Jefferies go ahead please.
Laurence Alexander: I guess 3 questions. First, did you – I might’ve missed it if you commented on trends in omega-3, particularly, is that platform growing at this point? Secondly, Feike, as you think about optionality for the business, are you open to larger-scale JVs or asset swaps? Or should we be thinking more in terms of that just direct acquisitions? And then lastly, as you’ve been developing your premix strategy and moving closer to the customer, do you see any need to move – to expand your portfolio outside of nutritional additives into functional additives as part of the food package that you offer to the customer?
Feike Sijbesma: Okay, our business is growing well. I think it’s also mentioned in this quarterly press release, also in the first quarter but also over the year, what we call Early Life is doing well. That is how, let’s say from a market basis. But also if you look to the other cash for complementing 4 to 5 wins, et cetera. I think they do very well in the first quarter and the year. Optionality – and by the way, we’re increasingly – a part of those businesses is what we call the B2 B business but a part is also the B2C business in i-Health, where we have also some of the health products, multi-vitamins, et cetera, introducing them also globally more into China. So it’s both businesses. But overall, doing very fine. Opportunity – optionality, as you said, yes, I think the company has all the means to grow at its own strengths. As we show, we grow faster than the markets we operate in: in Animal Health, in Human Health, in Materials. So that is very strong. And in that sense, we have future proofed a little bit our business over the years, and we have positioned ourselves to harvest the potential, right, that was the whole strategy in 2015 towards 2018, to show that this company can grow. Now I think we show that across all our businesses. EBITDA is also growing in all businesses. And if we look to 2018, and I assume we can continue with that, and we will update you on our Capital Markets Days, but that we can continue this growth in the years to come. Secondly, we’re working on a couple of big innovation projects. We mentioned those at Green Ocean, by the way, pretty much on track with clean power and all that stuff. That is another growth trajectory. And then, of course, the balance sheet, which we have, with further acquisitions; and we can never update you upfront on the acquisitions, which one or how big or how small or multiple small or one big or whatever. But you see with all those things, do we have the capabilities and strengths to grow our company at our own strengths? I think quite a bit. Are premixes expanding, but also beyond nutritional products? Yes, we are already doing that. If you look to what we have done, especially in China with our texturizing ingredients in pectin and other products, you see that we are expanding in all kinds of functional ingredients. So we see the space in which we are operating in more in a broad sense in food ingredients and not only specifically in nutritional ingredients. I mean, there are 6 big categories of products there, which varies from nutritional ingredients to texturizing to flavoring to preservation, processing and coloring. And Nutrition is the predominant area which we operate in, but we see all of that as our space.
Laurence Alexander: Perfect thank you.
Operator: The next question comes from Ms. Laura Lopez Pineda, Baader Helvea. Go ahead please.
Laura Lopez Pineda: First of all, can you maybe give us an estimated contribution that the bolt-on acquisitions made in 2017 will have in 2018, so in Nutrition? Secondly, you also reported a significant improvement in your innovation division. Do you continue to see further EBITDA expansion in 2018, and maybe what was triggering this – the significant improvement? In Materials, if you are again able to keep margins above 17%? And in the past, I remember that you also mentioned positive impact from lower raw material costs, which is – now it’s not the case anymore. So you 2018 in terms of margins for the Materials division? And then the last question, last year, you acquired Amyris' production facility in Brazil. Maybe an update or maybe what is the idea behind this acquisition? And how long will you have to supply work from this facility?
Geraldine Matchett: Excellent, thank you very much. Well, I think we will split these. So your first question was the bolt-on acquisitions. Indeed, during the year, we did a number of acquisitions. They are very different in nature, but overall we estimate about an EBITDA contribution of about €20 million on a full year basis in the first year. So that’s about €20 million up on that. And maybe I will take the Materials margin question, very fair comment. If you remember, we have guided towards 16% to 17% for the year. We closed at 17.3%. And one of the clear trends that we were seeing was these increasing input costs were going to be a challenge during 2017. Now the fact that we managed to close above 17%, despite these input costs going up and actually a bit of a negative FX, is really testament to the quality of the portfolio and how we’ve managed to grow in, particularly our specialty part of our portfolio, which give us more pricing potential in order to adjust to those environments. So that is very much what has been driven the 17.3% margin there.
Feike Sijbesma : Yes. On the Innovation Center, indeed, we made a step-up. Last year, we were roughly breakeven and this year, we’ve made a step-up in EBITDA. We just don’t know exactly, but I think we can – from a couple of years ago, minus 40, minus 50, even where we were in the Innovation Center last year breakeven – or the year before, 16 and last year 9. In the 9, there were a couple of millions one-timers. We mentioned that also, so we need to correct that and it’s a little bit lesser than that 9 on an underlying continuing basis. And compared with that underlying continuing basis, we’ll make sure to make a step- up also in 2018. But our specialties and Biomedical is growing well. Our forward joint venture is performing better every month and also the solar activities. On Amyris, we took a stake in Amyris because we believe that biotechnology, in several of our product ranges, plays a very important role. They are top notch in certain areas of biotech so, therefore, we took a stake and entered into collaboration – technical collaboration with them on R&D. And on top of that, we took over the growth facility and some technologies in Brazil, especially on furnishing because that is a raw material for several end products. And we want to have the technology in that field. Indeed, and then we added also further fermentation capacity to our company; in this case, in Brazil. And on top of that, indeed, the facility is supplying several companies amongst all those companies you mentioned. And we, of course, respect all supplier contracts. We took over and we delivered.
Laura LopezPineda: Thanks a lot.
Feike Sijbesma: Okay, next.
Operator: The next question will come from Mr. Patrick Lambert, Raymond James. Go ahead please.
Patrick Lambert: Hi, good morning congrats for the very beautiful. Three questions for my part. I think the first one will – if we could get some update on those big projects. I think aquaculture, in particular, should start to get some contribution in 2018. But also if you could comment where you are? I know before the Capital Markets Day, it may be a bit difficult, but if you could update us on where – what strategy you have in terms of implementing the introduction of those projects? First question. Second question, for Geraldine, I think on the restructuring program, if I’m correct, next year you expect incremental about €80 million – €80 million, €85 million EBITDA contribution – or at least cost savings, is that correct? And if you could help us also on the timing of those? Is it again a bit more H2 driven? Or those measures have been taken during 2017 and should proceed pretty much all year? That’s question number two. And question number three, again, on vitamins. If I look at your comment on this circa €100 million benefit from pricing, I would assume that still, vitamin E and A are a major contributor to that. And that, in my calculation, would mean that your average realized price for these vitamins should go up at least like €2 per kilogram for vitamin E. I know – roughly, is that the correct way of seeing it? And especially – and if you could remind us of your turnaround in vitamin A being in H2. Thank you.
Geraldine Matchett: Thank you, Patrick. Let me start maybe with the programs question. So indeed, as we disclosed here in the press release, we were very happy that we closed the year pretty much on track with €195 million run rate, end of 2017. Now remember, this is the cumulative figure versus the baseline of 2014. And you correctly calculate probably about €80 million, €85 million additional run rate by the end of 2018. And I always speak – I’m always quite specific here that these are the growth savings and it’s the run rate end of year. As for the impact, in the same way in 2017, it was a gradual entry. This will be gradually coming through the year. But it’s, indeed, resulting from actions which are already in place. So it’s not that we are bringing something new. And may be worth pointing out that this is predominantly relating to the nutrition improvement programs because the bulk of the work done on the functions has now been done. It’s part of the run rate at the end of 2017. So that’s the progress on the programs.
Feike Sijbesma: Yes, on the programs, we gave an update, you might look it up, during the last Capital Markets Days. And what we have done over the recent years is that we’ve focused more on a couple of bigger projects. And Green Ocean and joint ventures, which Evonik is a big one; Clean Cow is a big one. We have added recyclable carpets, it’s a big one; Stevia, et cetera. So we’ve listed all of that. If you look to the EBITDA contribution, we should not expect a big EBITDA contribution of all of that in 2018. It most likely will start, but that will be modest, in 2019, and then you will see a clearer EBITDA contribution in 2020 and further. So this all will start in 2019. This is also the way we stayed at the company. We said in 2015 we want to have high single-digit growth of our business in Materials and in Nutrition across the company, mainly by underlying volume growth because that is growing with the market, gaining market share, serving our customers and sometimes raise pricing, depending on the pricing environment. That is one. Second driver of growth is that at a certain moment, these innovation products will come on top of that, which they will do towards 2019 and 2020. And of course, certainly, you know our balance sheet, we can further grow also via acquisition. That is the growth trajectory. If I come back on 2018, we will continue our underlying growth. And that is important. I think, since 2015, we’re showing that in Animal Health, in Human Health and in Materials, we show a good underlying growth, also volume growth. We will continue that. On top of that, Geraldine said we have saving also next year of this year in 2018 on the cost side. On top of that, we have a headwind of the currencies clearly, and Geraldine quantified that one. And on top of that, we have the pricing effect, which is partly due to all our own commercial actions and that shows also in our volume growth, partly due to the changes in China, structurally of nature, blue sky, et cetera and partly temporarily. Now I understand what you want to do and to say, "Okay, the temporarily effect is maybe more A, E related, I understand your remark," and then you try to calculate. On the calculation, I fully understand we all want to calculate exactly the volume and prices, et cetera. What we tried to do today is to update you well that whole pricing arena, partly our own actions and structurally partly temporarily, and let’s not go into the exact split of that, is above – clearly above €100 million. Good success. So I’d like to put one warning and word of caution of using Feedinfo as a reference. I know that many of you are doing that, and I understand that. But the quantities that Feedinfo is measuring at this moment are very small. So you can see big deviations of what companies invoice sometimes and what is there because the market is tight, obviously. So there’s no attempt to represent the exact market price. You know that we normally do not deliver on the spot, but more on the longer term. And also that part, which is influenced by outages, I don’t want to speculate too much on who is back when, et cetera. I think that will be not ethical either for me to do so when we’re trying to serve our customers in the best possible way. And there’s also not any commercial interest for us to go deeper in that. And therefore, we decided to give you some guidance, let’s say this is clearly above €100 million. And on top of that, we have given you guidance for the full year for the total company, moving somewhat up from high single digits to double digit, as we said. So all of the above elements I said will result into a double-digit growth, somewhat up from the high single digit. And with those elements, we hoped that all of you can make your analysis.
Patrick Lambert: And just to make sure, your turnaround is still valid for, is it A and E in Q3?
Feike Sijbesma: Yes, mostly in H2, but I think Q3 will be an important one. Yes, correct.
Dave Huizing: We’re approaching now – we’re almost out of time so we have to round off. Geraldine, can you make – will you make some closing remarks?
Geraldine Matchett: Yes, very briefly. So thanks, Dave. Thanks to all of you for your time this morning. In short, with a strong performance in Q4, we concluded an excellent year for DSM in which we significantly exceeded our Strategy 2018 targets. For 2018, we remain relentlessly focused on our operational and financial performance through the growth initiatives, through the completion of the improvement programs, anchoring the benefits of those and to make sure that we continue under our own steam to grow above market in line with our ambitions for the Strategy 2018. And with that, I thank you all. Dave?
Dave Huizing: Okay, thank you, Geraldine. Thank you also, Feike. This concludes our conference call for today. Thank you very much for your attention and your questions. If you have any further questions or any background information, you know where to find us. And with that, I hand the call back to the operator.
Operator: Ladies and gentlemen, this will conclude the DSM 2017 Annual Results Conference Call. You may now disconnect your line. Thank you.